Operator: Greetings, and welcome to Take-Two Interactive Software's Q3 2020 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Hank Diamond, Senior Vice President of Investor Relations. Thank you. You may begin. 
Henry Diamond: Good afternoon. Welcome, and thank you for joining Take-Two's Conference Call to discuss its results for the third quarter of fiscal year 2020, ended December 31, 2019. Today's call will be led by Strauss Zelnick, Take-Two's Chairman and Chief Executive Officer; Karl Slatoff, our President; and Lainie Goldstein, our Chief Financial Officer. We will be available to answer your questions during the Q&A session following our prepared remarks. 
 Before we begin, I'd like to remind everyone that statements made during this call that are not historical facts are considered forward-looking statements under federal securities laws. These forward-looking statements are based on the beliefs of our management as well as assumptions made by and information currently available to us. We have no obligation to update these forward-looking statements. Actual operating results may vary significantly from these forward-looking statements based on a variety of factors. These important factors are described in our filings with the SEC, including the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q, including the risks summarized in the section entitled Risk Factors. 
 I'd also like to note that unless otherwise stated, all numbers we will be discussing today are GAAP and all comparisons are year-over-year. Additional details regarding our actual results and outlook are contained in our press release, including the items that our management uses internally to adjust our GAAP financial results in order to evaluate our operating performance. 
 In addition, we have posted to our website a slide deck that visually presents our results and financial outlook. Our press release and filings with the SEC may be obtained from our website at www.take2games.com. 
 And now I'll turn the call over to Strauss. 
Strauss Zelnick: Thanks, Hank. Good afternoon, and thank you for joining us today. Throughout the 2019 holiday season, we experienced robust demand for our offerings that drove third quarter operating results solidly within our increased outlook. Our net bookings were substantially higher than what we included for the third quarter when we gave our original fiscal 2020 outlook last May as well as when we increased our outlook last August. Highlights are the performance of Grand Theft Auto Online and Grand Theft Auto V, NBA 2K20, Red Dead Redemption 2 and Red Dead Online, The Outer Worlds and Borderlands 3, reflecting our ability to deliver some of the most captivating experiences in the entertainment industry. 
 Grand Theft Auto Online once again exceeded our expectations, delivering its best holiday quarter ever for both audience size and net bookings. During the third quarter, recurrent consumer spending on Grand Theft Auto Online grew 54%, driven by Rockstar Games continued release of engaging new content. Grand Theft Auto Online had its biggest series of back-to-back updates ever in terms of player numbers, with records in audience size in December and the third quarter following the release of The Diamond Casino & Resort update in July and The Diamond Casino Heist in December. We're now on track to deliver a new record for Grand Theft Auto Online recurrent consumer spending in fiscal 2020. 
 Sales of Grand Theft Auto V also exceeded our expectations, and the title has now sold in more than 120 million units. According to the NPD Group, Grand Theft Auto V was the best-selling game of the decade in the U.S. based on both unit and dollar sales. 
 Red Dead Online continues to gain momentum, both in terms of engagement and recurrent consumer spending. Net bookings from Red Dead Online outperformed our expectations during the third quarter, almost tripling, both year-over-year and sequentially, excluding digital content bundled with the Red Dead Redemption 2 premium editions. Red Dead Online hit a new peak in player numbers in December following the release of the latest update, Moonshiners, and exceeded those numbers and set a new record in January. We remain as excited as ever about the long-term opportunity for Red Dead Online to be a significant driver of recurrent consumer spending. In November, Red Dead Redemption 2 launched for the PC and Google Stadia to date has sold in over 29 million units. According to the NPD Group, Red Dead Redemption 2 was the top title of the last 4 years based on U.S. dollar sales. 
 There is noting that the collective lifetime selling of Grand Theft Auto V and Red Dead Redemption 2 is now -- more than 150 million units worldwide with over 250 million lifetime game accounts created across both titles. Rockstar Games total online audience is also its biggest to date, having recorded record numbers in the third quarter. 
 On October 25, Private Division launched The Outer Worlds for Xbox One, Playstation 4 in PC. Developed by Obsidian Entertainment, The Outer Worlds has significantly exceeded our expectations and has sold in more than 2 million units to date. Critical response to the game has been outstanding, and The Outer Worlds has won more than 75 awards, including Game of the Year from the New York Video Game critic circle and Destructoid and Best RPG of the Year from IGN, Shacknews, Gamerex and others. The title is also a finalist for the DICE awards outstanding achievement and story and the RPG of the year. We're confident that The Outer Worlds will continue to expand its audience, including through its release on the Nintendo Switch, which is now planned for fiscal 2021. 
 Unit sales of NBA 2K20, the latest installment in our industry-leading basketball series, has outperformed our expectations, and the title has sold in over 8 million units to date, up slightly over NBA 2K19 in the same period. In November, the title was released for Google Stadia. In addition, engagement with NBA 2K20 is reaching all-time highs with average daily active users growing and MyTeam users up more than 35%. In addition, NBA 2K20 has generated more than 276 million views on YouTube and over 8 million hours of content watched on Twitch across hundreds of channels. While this increased engagement led to strong growth in recurrent consumer spending in certain modes of NBA 2K20, we've not experienced the same positive benefits across the entire game due to some specific design changes, which we plan to address in future versions of NBA 2K. Because of this, we no longer expect lifetime net bookings for NBA 2K20 to be a record for the series. However, we continue to expect recurrent consumer spending for the NBA 2K franchise to grow in the strong double digits for fiscal 2020. Taking creative risk is part of Take-Two's DNA as we constantly strive to improve the game play experience for our audiences. More often than not, this results in enhancing our growth, which is reflected in the substantial long-term outperformance of NBA 2K. 
 Turning to Borderlands 3, the latest installment in our genre defining shooter-looter series continues to expand its audience since its record-breaking launch in September, with more than 50% user growth in comparison to Borderlands 2, at the same time, in its life cycle. 2K and Gearbox are supporting the game with free content as well as 4 downloadable campaign expansions, which are included with the Borderlands 3 Super Deluxe Edition and the season pass or can be purchased separately upon release. The first of these expansions, Moxxi's Heist and The Handsome Jackpot was released during the third quarter and was positively received by critics and consumers alike, helping to drive a season pass attach rate for Borderlands 3 that was a record, both for the series and for 2K at the same point in the title's life cycle. In December, Borderlands 3 was released for Google Stadia, and will be available on Steam in the coming months. To date, Borderlands 3 has sold in nearly 8 million units, and we expect lifetime unit sales to be a record for the series. 
 Earlier in the quarter, 2K launched WWE 2K20 for Playstation 4, Xbox One and PC. WWE 2K20 features several new gameplay modes that celebrate the WWE's thriving women's division, as well as an array of fan favorite superstars, legends and match types. While we're disappointed that WWE 2K20 did not meet our expectations, both in terms of sales and quality, 2K is actively working with visual concepts to ensure that these issues are addressed in the future, and they'll have more to share on their plans soon. The WWE brand continues to expand worldwide, and there remains a substantial long-term opportunity to grow our WWE 2K series by improving the quality of the game. 
 Among Take-Two's core tenets is our aim to be the most creative and the most innovative company in the entertainment industry. Today, in addition to delivering the highest quality stand-alone entertainment experiences, we measure our success by our ability to captivate and engage audiences well beyond the title's initial release. To that end, during the third quarter, recurrent consumer spending grew 6% and accounted for 41% of our total net bookings. 
 In addition to virtual currency for NBA 2K, Grand Theft Auto Online and Red Dead Online, recurrent consumer spending was enhanced by a variety of other offerings. In the free-to-play category, Social Point continues to be a meaningful contributor to our results through its mobile titles Dragon City, Monster Legends, World Chef, Tasty Town and Word Life. During the quarter, Social Point added new content, special events and updates to these games. Our Barcelona based studio continues to invest in its broad and innovative pipeline of new games planned for launch in the coming years. 
 2K launched season 6 of WWE SuperCard featuring all new card tiers and upgraded features. The title has now been downloaded more than 20 million times and remains 2K's highest grossing mobile title. 
 NBA 2K Online in China remains the #1 PC online sports game in China, with more than 48 million registered users. Add-on content grew 135%, led by offerings for Borderlands 3, Sid Meier's Civilization VI and WWE 2K20. 
 Finally, sales of Borderlands 3 premium additions, which include additional content that is allocated to recurrent consumer spending, also contributed during the period. As a result of our solid third quarter results and outlook for the fourth quarter, we're increasing the low end of our fiscal 2020 operating outlook, while maintaining the high end. Fiscal 2020 is shaping up to be another terrific year for Take-Two. 
 Looking ahead, our company has the strongest development pipeline in its history, and we're committed to supporting our titles with offerings designed to drive ongoing engagement. In addition, we're actively investing in emerging markets, platforms and business models that have significant potential to enhance our growth. Take-Two is exceedingly well positioned to capitalize on the many positive trends in our industry, and to generate returns for our shareholders over the long term. 
 I'll now turn the call over to Karl. 
Karl Slatoff: Thanks, Strauss. I'll begin by discussing our upcoming releases. Throughout the coming months, 2K and Gearbox software will continue to support Borderlands 3 with a robust post-launch content strategy, including all new in-game mini events and 3 additional downloadable campaign expansions. Later this month at PAX East in Boston, 2K will unveil details about their future content offerings, Borderlands 3 upcoming release on Steam and more. In addition, Rockstar Games will continue to provide an array of content and gameplay experiences for the vast open worlds of Grand Theft Auto Online and Red Dead Online, which continue to set engagement records for the label. 
 In fiscal 2021, Private Division will expand our offerings for the Nintendo Switch with the release of The Outer Worlds. As Strauss noted earlier, the title is incredibly well received by critics and consumers alike on its original launch platforms. And we are confident that we'll continue to thrill audiences as they immerse themselves in this player of choice-driven RPG on the switch. One of our organization's key priorities is building scale by growing the size of our development pipeline. Investing in our world class creative resources and partnering with the best independent studios in the industry enables Take-Two to enhance our industry-leading portfolio of intellectual property, which is the foundation of our strategy to grow our business and expand profitability. 
 In December, 2K announced the formation of Cloud Chamber, which we'll be working on the next-generation of the globally acclaimed BioShock franchise for the next several years. Cloud Chamber is a collective of storytellers eager to push the limits of interactive entertainment by making unique, captivating and thoughtful experiences set in a rich immersive world. The team will be based in 2 locations, 2K's headquarters in Novato, California as well as in Montreal, Quebec, which marks the first ever 2K studio in Canada. 
 Private Divisions is another example of our growing investment in new intellectual property. This year, we benefited from the exceptional performance of The Outer Worlds. Our new label is taking a strategic approach to working with some of the industry's best creative talent and is quickly amassing an impressive pipeline for the future.  During fiscal year 2021, Private Division plans to release Kerbal Space Program 2 and Disintegration, which just completed a successful technical beta. Private Division will have more announcements about their growing portfolio over time. 
 Mobile, which continues to be the highest growing -- highest grossing and fastest growing segment in the interactive entertainment is an important opportunity for Take-Two. Social Point currently has 5 games active in the market, including Dragon City, Monster Legends, World Chef, Tasty Town and Word Life, and they have more than 10 new games in the various stages of development. In addition, we continue to pursue new mobile offerings and extensions of our existing franchises, such as WWE SuperCard and NBA 2K Mobile. The global proliferation of smart mobile devices and high-speed data networks represents an exciting entry point into emerging markets, particularly in China, Latin America, Africa and India. 
 Take-Two's development pipeline over the next 5 years is the largest and most diverse in our company's history, including releases from our biggest franchises, exciting new IP, free-to-play offerings and a diverse mix of casual, mid-core and core gaming experiences. We will have much more to share on this exciting slate of titles in the months to come. 
 In addition to our focus on growing existing and building new franchises, we have a number of emerging opportunities that have the potential to contribute to our growth and margin expansion.  Streaming may become a compelling distribution platform for our industry that could expand our market and increase margins. With our frontline of catalog offerings, the highest quality content drives consumer adoption and Take-Two's portfolio is a must-have for any new platform. During the holiday season, we released Red Dead Redemption 2, NBA 2K20 and Borderlands 3 for purchase on Google Stadia. eSports remains an exciting new segment for our industry and company. The NBA 2K League, our first foray into competitive gaming and partnership with the NBA, is gearing up for its third season that will begin at the end of this month. The league continues to expand with new teams joining this year, bringing the count to 23, including the first international and non-NBA team, the Gen.G Tigers of Shanghai. The launch of the Gen.G Tigers is the first step in the long-term effort to build a stronger global presence for the league. In January, the NBA 2K League hosted its global invitation match, a series of exhibition matches featuring APAC invitational players and the 2019 NBA 2K League Finals MVP playing against top representatives from NBA 2K Online 2. The games were live streamed in China on Tencent's Penguin Esports, Gen.G streaming partner Douyu and Huya, as well as on the NBA 2K League's Twitch and YouTube channels. We are very excited about the continued progress and growth of the league, which has a long-term potential to enhance engagement and to be a driver of profits for our company. 
 In closing, as we begin a new decade, we enter an incredibly exciting period for our industry and company, which should bring technological advancements as well as compelling new platforms and business models. We remain steadfast in our commitment to deliver the highest quality entertainment experiences to captivate and engage our audiences throughout the world and to generate growth and margin expansion. 
 I'll now turn the call over to Lainie. 
Lainie Goldstein: Thanks, Karl. Good afternoon, everyone. Today, we'll discuss our third quarter results and then review our financial outlook for the fourth quarter and fiscal year 2020. Please note that additional details regarding our actual results and outlook are contained in our press release. 
 As Strauss mentioned, we experienced robust demand for our offerings throughout the 2019 holiday season that enabled us to deliver third quarter operating results solidly within our increased outlook. Total net bookings were $888 million as compared to our outlook of $860 million to $910 million. Current consumer spending grew 6% and accounted for 41% of total net bookings as compared to our outlook of 5% growth. Digitally delivered net bookings decreased slightly by 2% and accounted for 78% of the total, as compared to our outlook of 5% growth. The decrease was due to very strong fiscal sales of our titles over the holidays. During the third quarter, 44% of current generation console games were delivered digitally, up from 31% last year. 
 Turning to some details from our third quarter income statement. GAAP net revenue grew to $930 million and cost of goods sold decreased to $437 million. Operating expenses increased by 6% to $316 million, due primarily to higher personnel and R&D costs, offset by lower marketing expenses. And GAAP net income was $164 million or $1.43 per share as compared to $180 million or $1.57 per share in the third quarter of fiscal 2019. Adjusted unrestricted operating cash flow for the 9 months ended December 31, 2019, was $548 million, and we ended the period with approximately $2 billion in cash and short-term investments. 
 Now I will review the highlights of our fiscal 2020 financial outlook. Starting with the fourth quarter. We project net bookings to range from $540 million to $590 million, up from $488 million in the fourth quarter last year. The largest contributor to net bookings are expected to be Grand Theft Auto Online and Grand Theft Auto V, NBA 2K20, Red Dead Redemption 2 and Red Dead Online, Sid Meier's Civilization VI and Borderlands 3. We project our current consumer spending to grow by approximately 10%, driven primarily by growing Grand Theft Auto Online and Red Dead Online. We expect digitally delivered net bookings to increase by over 20%. Our forecast assumes that 66% of our current generation console games will be delivered digitally, up from 57% in the same period last year. We expect GAAP net revenue to range from $635 million to $685 million and cost of goods sold to range from $274 million to $286 million. 
 Operating expenses are expected to range from $247 million to $257 million. At the midpoint, this represents a 13% increase over last year, driven primarily by higher personnel costs and marketing expenses. And GAAP net income is expected to range from $105 million to $128 million or $0.92 to $1.12 per share. For management reporting purposes, we expect our tax rate to be 17% throughout fiscal 2020. 
 Turning to our outlook for the full fiscal year. We are raising the low end of our net bookings outlook by $50 million and maintaining the high end. We now expect net bookings to range from $2.8 billion to $2.85 billion. The increase is driven by higher expectations for Grand Theft Auto Online, including record recurrent consumer spending on the title, Grand Theft Auto V and The Outer Worlds, partially offset by reduced expectations for Borderlands 3 and recurrent consumer spending on NBA 2K. The reduced expectations for Borderlands 3 are still consistent with our original high expectations for the title prior to launch. The largest contributor to net bookings are expected to be NBA 2K20 and NBA 2K19, Grand Theft Online and Grand Theft Auto V, Borderlands 3, Red Dead Redemption 2 and Red Dead Online, The Outer Worlds and Sid Meier's Civilization VI. We expect the net bookings breakdown from our labels to be roughly 55% 2K, 35% Rockstar Games and 10% Private Division and Social Point. And we forecast our geographic net bookings split to be about 60% United States and 40% international. We are maintaining our forecast for recurrent consumer spending to increase by approximately 25%. 
 We now project digitally delivered net bookings to grow by approximately 25% versus our prior expectation of nearly 30% growth due to a higher mix of physical sales. Note that this is still above our forecast given in August of high-teens growth. Our outlook assumes that 55% of current generation console games will be delivered digitally, up from 38% last year. We are increasing our outlook for adjusted unrestricted operating cash flow to over $500 million versus our prior expectation of over $450 million. We now plan to deploy approximately $60 million for capital expenditures versus a prior expectation of $75 million. We expect GAAP net revenue to range from $2.96 billion to $3.01 billion and cost of goods sold to range from $1.42 billion to $1.43 billion. Total operating expenses are expected to range from $1.13 billion to $1.4 billion. At the midpoint, this represents a 20% increase over the prior year, driven primarily by higher marketing, R&D and personnel costs. And we expect GAAP net income to range from $387 million to $409 million or $3.38 to $3.58 per share. 
 In closing, our focus on producing the highest quality entertainment delivered strong third quarter results and reaffirmed that Take-Two remains on pace to deliver another terrific year. Looking ahead with our world-class creative teams, firm commitment to operational excellence and solid financial foundation, our company is exceptionally well positioned to deliver value to our customers and returns to our shareholders. 
 Thank you. I will now turn the call back to Strauss. 
Strauss Zelnick: Thanks, Lainie and Karl. On behalf of our entire management team, I'd like to thank our colleagues for their hard work and commitment to excellence. To our shareholders, I want to express our appreciation for your continued support. We'll now take your questions. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Todd Juenger with Sanford C. Bernstein. 
Todd Juenger: I hope you understand that I feel I have to ask this question. I'm sure you were expecting it. So you had a significant executive departure at Rockstar. Karl or Strauss, anything you can tell us about succession planning, impact on operations in the pipeline, culture, future plans and competition, whatever you can say on that matter? I'm sure we'd appreciate. 
Strauss Zelnick: Todd, thanks for your question. This is Strauss. So Dan Houser had been on an extended leave since early spring 2019. The company has been led since its founding by Sam Houser, who's President of the company, and it's an extraordinary team effort and Sam is a great player and coach. The results of Rockstar Games continue to be extraordinary with the launch of the new content for both Grand Theft Auto Online and for Red Dead Online, and it's amazingly gratifying to see Grand Theft Auto V selling at 120 million units and Red Dead Redemption 2 to be up to 29 million units with the launch on PC and Stadia as well as the really extraordinary results of Grand Theft Auto Online, which we now expect to have another record year, more than 6 years after its initial launch. And of course, Red Dead Online itself, was up something like 3x year-over-year and sequentially in the last quarter. So the label has really never been stronger. We're incredibly optimistic and excited. At the same time, we're grateful to Dan for his contributions, and we wish him well. 
Todd Juenger: If you don't mind, if I could ask just a follow-up then more on the business side. So Strauss, I think I've heard you say multiple times publicly that Take-Two aspires to launch an AAA game every year, at least 1 every year. Should we assume that, that includes calendar year 2020? I'm not asking for any formal announcements of anything, but with this year, should we expect an AAA release this year as well? And anything you could say about -- more about that would be appreciated. 
Strauss Zelnick: So as we always do, you're going to hear our initial outlook for fiscal '21 in May, and our labels, of course, always make our product releases. We have set our strategy, as you correctly pointed out, is to have a strong frontline release schedule, both iterations from beloved franchises. We have 11 franchises that have sold in at least 5 million units within one release as well as new intellectual property, and we are working on the most robust pipeline in our history. So we're amazingly excited about it. That said, we haven't always been able to achieve our goal of having a strong frontline release schedule in every year, or even in the recent past. What has been great, though, is we've now built a company that has these very strong underpinnings of catalog titles and ongoing titles that live on in the hearts and minds of our consumers, generating engagement and generating net bookings and profits. So right now, we have titles like Grand Theft Auto Online, Red Dead Online, all the Social Point titles, and there are 5 that are successfully in market, NBA 2K Online in China, WWE SuperCard, which has been downloaded more than 20 million times, and the list goes on. And in this past quarter, for example, catalog sales represented about 40% of our net bookings. So we now have a company that season in and season out, we feel confident can generate plenty of net bookings, can engage with consumers and can generate a great deal of profitability. And of course, at the same time, we'll build our business with those frontline new releases. Given that we're a company that depends on our creative teams to make as close to perfect products as possible, we have to be willing to live with the vagaries of product deliveries. And that means, sometimes, we will have thin frontline years. But even in those frontline years, we've been able to deliver really great financial results. 
Operator: Our next question comes from the line of Doug Creutz with Cowen & Company. 
Douglas Creutz: If I recall correctly, 2 years ago, you guys had a bit of a hiccup with NBA 2K, recurrent consumer spending. Obviously, last year was incredibly strong. It seems you're running into a little bit of an air pocket again this year. Could you talk about what's going on? Is that just sort of growing pains as you continue to sort of try to find new frontiers for the franchise to get consumers to spend money? Is it something with the process? Is it something with sort of in the engagement loops? Anything you can say on that would be helpful. 
Strauss Zelnick: Yes. First of all, I want to make sure that we distinguish between a problem and a high-class problem. So the high-class problem is that we had said in our revised outlook that we thought NBA 2K20 would set another record for net bookings. Then now we're realizing that to say we don't expect it to set another record, despite its very strong unit sales and the great engagement. And that's because one of the parts of the online version has recurrent consumer spending coming in somewhat lower than we had expected. And that's related to a design feature and one that we can address going forward. But it's not really a hiccup because our goal is first and foremost to captivate and engage consumers, and our engagement is up, and our unit sales are up, and the title quality is just phenomenal. It's also true that as a company that doesn't lead with monetization, we lead with entertainment and engagement. Now and then, our monetization may not be exactly what we think it will be. So let me take responsibility for the decision to focus first and foremost on the entertainment experience and the consumer and only secondarily on what the monetization is. And that means now and then, we may fall short of setting a record, but failing to set a record isn't exactly a problem when you have a title that is massively successful as NBA 2K20 is, it's an incredibly profitable title for the firm. And incidentally, recurrent consumer spending for the franchise will actually be up in the fiscal year in solid double digits. So the engagement is strong. The spending is strong, and at the same time, there were some design changes that didn't optimize specific recurrent consumer spending in certain modes. And we are confident we'll be able to address those. 
Operator: Our next question comes from the line of Drew Crum with Stifel. 
Andrew Crum: What has led to the reduced view on Borderlands 3? Can you comment on how the game has performed on PC to date? And without getting into specific numbers, what are your expectations for the game once it's available on Steam? 
Strauss Zelnick: Well, Borderlands is actually performing better than our original outlook. It's sold in nearly 8 million units. We've launched one of the downloadable content packs. We have three more expected at the moment. And in fact, the season passes attach rate is a record for the series and a record for 2K at this point of the title's life cycle, and we expect that the Borderlands 3 will set a record in terms of net bookings for the franchise. So our expectations remain solid and very strong. It's a great big hit for us. 
Lainie Goldstein: Right. When we went into the Christmas season, we had really seen real excitement for the title, and we've lifted our expectations a little bit higher than we had it at the very beginning of the year, which was very high to begin with. So we didn't meet those -- that higher expectations, but we did meet our original very high expectations for the title. So that's why we're bringing it down slightly, but it's very high from the beginning of the year. 
Strauss Zelnick: This is -- again, this is a massive hit by any standard. But we've always said this when we guide and when we revise, we aim to be accurate. And sometimes, the vagaries of the entertainment business will be that we don't exactly get it right. 
Andrew Crum: Okay, fair enough. And just a follow-up. I think in the initial press release, you indicated that the sell-through on PC was quite strong. Again, what are your expectations for the game once it launches on Steam? 
Strauss Zelnick: We continue to have very high expectations. As I said, we fully expect that Borderlands 3 will set a record for the franchise. 
Operator: Our next question comes from the line of Andrew Uerkwitz with Oppenheimer. 
Andrew Uerkwitz: Let me ask a couple of questions here. The first one. Just how should we think about the next kind of next-generation console? Does it add more uncertainty? Or does it actually alleviate uncertainty as we think about the transition to the new console in terms of lot of service games, whether it's NBA or GTA Online or what have you? 
Karl Slatoff: It's Karl. We weren't really excited about the next-generation console. So I think the best part about it is that I think everyone now knows that we are going to have the next-generation console, and there's a lot of anticipation for it. I'll leave the details about what the expectations are to our partners, Microsoft and Sony. But I think so far the buzz about what the consoles are going to be able to do from a technological perspective, is very exciting for us. And so in that regard, I think it eliminates uncertainty because we know we're going to next console cycle and that we believe it will be very robust and a great thing for the industry. And again, anytime that you have these kinds of advancements in tech, it creates opportunities for our great -- incredible creative team to push the limits of those -- of that technology and create the experiences that we know consumers are going to -- want to engage with for very long periods of time, even after the initial sale. So to the extent that we've got the ability to do that, and all indications is that we will, and we expect this will lead to growth for our company. It's a very positive thing. 
Andrew Uerkwitz: Even for current ongoing live service games that you have now that were built for older gen? 
Karl Slatoff: Yes. I mean, look, how -- what exactly the transition is going to be from console -- from each game from console -- between the console cycles will vary. But there's no reason to believe that the success that we're experiencing with those services would be any less in the new generation than is in the old generation. 
Andrew Uerkwitz: Got it. And then just -- just a kind of higher level question. I think Outer Worlds was on Microsoft Xbox Game Pass. Do you think that helped or hurt the success of that franchise? 
Strauss Zelnick: It's hard to say. I think what we've said all along is that, generally speaking, we want to be where the consumer is. Generally speaking, we think subscription offerings to the extent they exist, are probably better suited to catalog, but we're willing to take experimental chances when it makes sense for a particular title and when the deal underlying that option also makes sense for us. And we're pleased that we have a great partnership with Microsoft, and we're mostly pleased that the title is such a big hit, it's sold in more than 2 million units and it's won 75 game awards. So it's early days for all of these platforms. It's obviously early days for many technologies, including streaming technology. Our goal is to be where the consumer is. We're ecumenical and we're open minded. 
Operator: Our next question comes from the line of Matthew Thornton with SunTrust. 
Matthew Thornton: Maybe 2 quick housekeeping or triangulation questions, and then I'll come back to an earlier question. GTA versus NBA 2K in the back half of the year, I mean, could GTA Online actually be bigger than the NBA? Was it in December? Could it be in the fourth quarter? Similarly, Red Dead, I think the initial expectation this year was recurrent would be down year-on-year when you include some of the premium SKUs from last year's launch. Is that still the case given the success that, that sales having could recur and actually be up year-on-year? And then just coming back, Strauss, to your comment around the recent departure. I just want to paraphrase and make sure that we had the message, right? It sounds like this was a fairly isolated departure, no other plans for departure. The culture is still kind of -- as it has been. The pipeline as it has been, the progress is kind of where it has been. I just want to make sure that we have that messaging, right? Because obviously, a lot of investors are asking that question. Any color there would be helpful. 
Lainie Goldstein: So in the first one, we have said that the NBA 2K is the highest contributor in recurrent consumer spending for all titles. So we have said that. What is your second question? Sorry, I've missed that one. 
Matthew Thornton: On Red Dead Online, if that could actually be up year-on-year, even including the premium SKU kind of contribution last year? 
Lainie Goldstein: Now with including the special editions, it's not up. It's only without including the special edition. 
Strauss Zelnick: And in terms of your question about Rockstar, and I think your question -- I think your question will fall in the category of the stability of the team going forward as well as the culture of the label. So in terms of team stability, Sam Houser is President of Rockstar Games. He founded Rockstar Games. He's a great player, coach and he leads the team of thousands of people every day who are trying to make the most extraordinary entertainment experiences known to me. And that's -- those are their goals. And more often than not, they achieve or even exceed those goals, which is just amazing. It doesn't -- I don't typically speak for other people, but I confidently can speak and say that Sam is highly committed to the organization. And Sam and I work very closely together, and it's an enormous pleasure to be able to be in business with Sam and the entire team at Rockstar. 
 Culturally, I've only seen ongoing improvements at Rockstar, frankly. I have only seen growth and engagement and innovation. And I think one of the great things about all of our labels and our company as a whole is that we're incredibly self critical, and we're -- we aim to be utterly transparent, and we always try to do better. And I think that's true everywhere, the Take-Two touches and Rockstar Games sets a standard for always trying to improve the quality of its operations, the quality of the way that they work and the quality of their culture. I frankly couldn't be more proud of how effectively that label is operating. I think this year has been one of amazing strength, I mean, dropping content on the same day for both Red Dead Online and Grand Theft Auto Online and delivering content that set records in terms of engagement and player excitement and incidentally revenue and profitability. So things couldn't be better. And to be very specific, no, we certainly don't expect other departures. As an organization as a whole, we have an extraordinarily low rate of attrition, vastly lower than the industry average. And I think that's because we offer great place to work at all of our labels and the Take-Two corporate as well. And to the extent that we ever fall short, we always aim to do better. 
Operator: Our next question comes from the line of Ryan Gee with Bank of America. 
Ryan Gee: So maybe first for Lainie. I guess, with over 60% of the business now coming from recurrent consumer spend, how has that impacted your ability to provide us guidance 1 quarter, 1 year out, especially as you consider NBA 2K and Borderlands coming in a bit lower? Should we have greater confidence now than in the past in your guidance? Or does this present other challenges for you? That's the first question. And then for Karl, you touched on Cloud Chamber. Can we maybe get an update on the 2K Silicon Valley Studio, maybe Hangar 13, are those likely to also have content out in the next 1 to 2 years? Anything you can say there? 
Lainie Goldstein: Well, in terms of forecasting, with recurrent consumer spending, there are some things that I think are easier to predict, but it does present other challenges as well, especially when you have titles that are out in the market for such a long time, and you would expect them to decline. And then 1 year, they decline, and then the next year, they grow, and there's different content that comes out. It's still pretty difficult to predict that as well as different -- when we're making different -- when we're trying different things and different games, and you don't know how that's going to perform. That can also be another variable. So we're definitely getting better at it, and we have a lot more information and analytics that we can use to be more predictive. But there are different things that change every year, that can make it different from year-to-year. So I'd say we're getting better at it, but there are different things that we have in recurrent consumer spending each year. So I wouldn't say that it's a slam dunk, but it's definitely something that we're getting better at. 
Karl Slatoff: And in regards to your question about Hangar 13 and also Michael Condrey Studio, I wish I could tell you more about what they're working on because it's very exciting, both the studios. We're incredibly excited to have a team like Hangar 13 led by Haden and also Michael's yet to be named studio as well, working on new and setting projects. As I said before, our pipeline is very diverse and is very large, and we're going to share with you more about that in the coming months. And these 2 projects are obviously part of that. So you can certainly expect that there will be games coming out of those studios. I wish I could tell you more about them, but stay tuned because they're very exciting, and we're thrilled to be in business with both of those folks and their entire teams. So stay tuned. 
Ryan Gee: Okay. And then if I could just follow-up on that, that last point. So BioShock, still several years out, Borderlands just came. Should we assume that your characterization of a robust slate ahead also includes Rockstar content, not just 2K studios? 
Strauss Zelnick: Yes, we're talking about the entire company, all of our labels Rockstar, Private Division, Social Point and 2K. 
Operator: Our next question comes from the line of Eric Sheridan with UBS. 
Eric Sheridan: Maybe a bigger picture one. You saw another player in the industry make a larger announcement with Google in the last couple of weeks. Curious how you're thinking about a couple of large secular themes that are playing out in the industry with respect to either owning or outsourcing your own technology infrastructure? How you think about the content you're producing being broadcast, broader over direct-to-consumer channels? And how to think about either owning that or partnering? And the same with respect to cloud computing as a distribution mechanism for gaming. How are you thinking about wrapping what you've been very good at over the years in terms of content creation and thinking about maybe amplifying that either through your own efforts or through partnerships and relationships? 
Strauss Zelnick: So I appreciate the question and the question points sort of points up our focus on expanding the company in this industry that has these extraordinary tailwinds through a focus on new technologies, new business models, new types of entertainment and new geographies or geographies where we're not currently represented. And so it's sort of for a multiple choice question, it would be all of the above. We're focusing on all of them. You specifically asked on the distribution side, how are we looking at that. And the answer is we are very engaged in looking at options that do include direct-to-consumer options. Our strategy has been to be where the consumer is. If I keep choking, Karl is going to have to dig on it. Our strategy has been -- apologies, to be where the consumer is and to be ecumenical about various distribution opportunities and to work with all of the players in the space, and I expect we'll continue to do all of that. 
Operator: Our next question comes from the line of Mario Lu with Barclays. 
X. Lu: I have a couple of questions, 1 on GTA and 1 on Red Dead. So GTA V have partnerships with Playstation now late last year and then Xbox's Game Pass in January, which I suspect it added millions of players. So any color you can provide regarding these types of partnerships? And specifically, how much of an uplift they provided to GTA Online bookings? And secondly, on Red Dead, glad to hear that Red Dead Online tripled year-on-year. So -- and then I know you mentioned before that GTA Online is in a world of its own. But how confident are you that Red Dead Online engagement can maintain or grow for 6 years plus as well? 
Strauss Zelnick: In terms of how specific arrangements with specific titles pan out, we typically don't go into that level of detail, except to say we enter into those arrangements with a view that they'll benefit the titles. They'll benefit us and that they'll benefit our partners. And more often than not, we are able to do all 3 of those things. In terms of the success of Red Dead Online, we are incredibly excited about the momentum that we're seeing in the quarter. We feel really good going forward. But as I said, when asked Grand Theft Auto Online early on and I was asked a lot about it, we really don't know how high up is. We really don't have any way of knowing where the consumer will take us. What we do know is that we're going to deliver a lot more great content. And so far, it does look like when we deliver great content into these beloved franchises, consumers show up and stay engaged. So we're very optimistic about the future of Red Dead Online, and we're excited about the momentum we see. 
Operator: Our next question comes from the line of Eric Handler with MKM Partners. 
Eric Handler: I actually got 2. For your first, wondered if you'd be willing to sort of lift the comodo on the development pipeline a little bit? And talk about how many AAA console games are currently in development and to the extent that maybe you could say how many of those might be released in the next 1 to 3 years and how many might be released in the next beyond 3 years? Anything to sort of give a little bit of a road map there would be greatly appreciated. And secondly, with Red Dead Online, when you originally launched GTA Online, you had a couple of big content drops that really help the development of that business, so gun runners and the first heist that you did. Wondered, have we seen that type of content drop yet for Red Dead Online? 
Karl Slatoff: Eric, it's Karl. Just regarding the pipeline, this question obviously comes up on every single call we had and every single meeting we have with investors. And we are -- like I said, we are going to share more about the pipeline, we do over the coming months. And exact -- give you some more color on exactly what constitutes that pipeline. So I'll give you a little bit more idea of between what we've got going on with new IP and existing franchises, free-to-play games, different business models, casual games, core games, mid-core games. And we're hoping to share a lot more information with you over the coming months regarding that. 
Strauss Zelnick: And in terms of Red Dead, I don't think you can compare content to content. The last content drops on Red Dead have been fantastically successful. And the latest update, Moonshiners did great and generated all of this excitement that we've seen reflected in the numbers. And then I'm confident that Rockstar Games will continue to deliver great content for Red Dead Online. But there's no real way to compare qualitatively to -- or I suppose, quantitatively to Grand Theft Auto Online content. They're just -- they are different games, and they have different types of content that's dropped. But the goal is to create content that consumers love and engage in and spend against. 
Operator: Our next question comes from the line of Mike Ng with Goldman Sachs. 
Michael Ng: I just have 1 on M&A for Strauss. As a group, it seems like video game publishers have been pretty resistant to making their frontline content available day and date on subscription products. Do you think that could eventually catalyze vertical consolidation to get that content in the future? And I'd also appreciate hearing your thoughts on the prospect of AAA horizontal consolidation as well? 
Strauss Zelnick: I think we're -- I'm proud of my crystal ball most of the time, where I really had a very bad crystal ball is when I've been predicting consolidation in the industry. I think I predicted meaningful consolidation in the industry about 10 years ago, and we're still waiting. So it seems that in an industry where you have these extraordinary tailwinds and weak players get washed out and really get sold for scrap, essentially, and strong players only get stronger, it's hard to imagine why you'd see a lot of horizontal consolidation. Horizontal consolidation tends to occur when the industries are under pressure or companies are under pressure, typically, certainly, in the entertainment industry, that's historically been the case. So I'm not sure what you expect. I think your question about vertical consolidation is interesting, even though first -- your first day at business school, they explained to you the vertical consolidation doesn't create value. One could imagine a powerful distributor that's anxious to build an audience could imagine that acquiring exclusive rights to key product would jump-start that. The track record of that going well in the linear entertainment business has been very poor, and has been tried over and over again. But I suppose it could be tried in the interactive entertainment business. Very hard for us, very hard for us to say. What we do every day is get up and try to do the best job we can, both from a creative point of view and a business point of view, and we try to be of service to our customers, our colleagues and our investors, and that's served us well. And in terms of our own approach to M&A, we have a significant cash balance, just shy of $2 billion. We don't have any debt. And we have a lot of cash flow. In fact, we've revised upward our expectations about adjusted operating cash flow for the year to $500 million up from $450 million. Our CapEx is down a little bit as well. So we certainly are in a position to pursue transactions. Our lens is, is it strategically powerful and is financially accretive, and that analysis led us to acquire Social Point several years ago. We're happy we did. And to the extent that an opportunity matches those criteria, we would hope to move forward as well. 
Operator: Our next question comes from the line of Raymond Stochel with Consumer Edge Research. 
Raymond Stochel: One on retaining talent, and this isn't really meant to involve Dan Houser, but you can certainly comment on that as well. It's more in thinking about how you're opening up these new studios and even your equity investment in Proletariat. Can you talk about how the changing business models and the changing pipeline that you have as far as bringing new ideas to market is making you think differently about the way that you're incentivizing your employees? I know you think deeply about these matters. 
Strauss Zelnick: Yes. What we are trying always to think differently about is creativity. We know there will be a next new thing. You haven't seen the final expression of what interactive entertainment or entertainment is here in 2020. You're going to see big innovations, hopefully from us, but certainly from the industry, in the next 1, 2, 3, 5, 10, 20 years. And we're positioned so that we ought to be able to be at the front line of that, and shame on us if we're not. So the creative expression of what we do must evolve, will evolve. But the culture that underlies that here remains unchanged because it works. And part of the culture is compensation. In a for-profit enterprise, you can outline your culture verbally, but your compensation programs either will or will not drive that culture. And our culture is one of sharing, and our compensation programs are one of sharing. We emotionally share success. We all take responsibility for failure. And equally, our compensation programs align incentives with our shareholders by making sure that, essentially, we have profit shares, essentially. If we miss our goals, then incentive comp for the team is disappointing or 0. If we exceed our goals, it's good. If we massively exceed our goals, it's very good, but it's self-liquidating because it's driven by an increase in profits. And at the label level, we essentially, although we call it different things, have profit sharing arrangements. So the better the labels do, the better the human beings do, the better the shareholders do. That's our goal, and it's all formulaic because we don't believe in discretionary comp programs. We think they lead to politicking and other bad things. Our comp programs are almost entirely formulaic based on results versus plan and/or actual operational profitability at the divisional level. 
Operator: Our next question comes from the line of Alex Giaimo with Jefferies. 
Alexander Giaimo: Karl, you mentioned free-to-play as an opportunity in your remarks, you guys have a lot of valuable IP in your portfolio. So just curious if anything in your catalog could work on a free-to-play basis? Or if you were to launch a free-to-play offering, would it more likely be based on new IP? 
Karl Slatoff: Yes. I mean I think the short answer is, I'm sure there are lots of things in our catalog that would work on a free-to-play basis. And that doesn't necessarily mean that we pursue that. It really has to be the right mix of the creative goal and what the development team is trying to achieve from a creative perspective and then the business model, et cetera. In our free-to-play games, we tend to have the belief that you can't really invest at the same level on a free-to-play experience that you do in a standard ownership AAA type title. They're probably going to be examples in the future where that's not the case, but that's our general philosophy. So -- but that doesn't necessarily mean that an old franchise that was AAA ownership type model couldn't work in a free-to-play context. And certainly, new IP begets opportunities to pursue new business models and amongst those business models are free-to-play. So the answer really could be both. 
Operator: Our next question comes from the line of Matthew Thornton with SunTrust. 
Matthew Thornton: My question was actually taken, but I'll ask a different one. I think it was Karl, you mentioned talking about the pipeline in the next couple of months here. I'm just curious, #1, is that just talking about the fiscal '21 slate? Or is that more of a multiyear outlook that you guys are thinking about providing? And then just kind of what venue is that on the next call? Is there a certain venue? Or is this kind of ad hoc by studio? Just how should we think about this information coming to us? Any color there? 
Karl Slatoff: Yes. I mean, our goal is, obviously -- look, we have insight into many years into the future what the pipeline is. And one thing we know for sure is that it will change. And not everything in the pipeline will see the light of day that's currently in the pipeline, and there'll be things that are not in the pipeline that will come out. But our goal is to share as much information as we can, to give you insight into what we see, which is a multiyear pipeline. And when exactly we do that, you'll have to wait and see, but really, it will be in the coming months, and when that information comes, you'll know it. 
Operator: Our final question comes from the line of Jeff Cohen with Stephens Inc. 
Jeffrey Cohen: Can you talk about engagement with the Rockstar Games Launcher since it went live back in September? And then could you eventually see adding games from other Take-Two studios or even games from third-party publishers? 
Strauss Zelnick: Yes, they've had very strong results with the Rockstar Game Launcher, and we're excited to see that. In terms of how the company will pursue it broadly, that's part of the work that we're doing now. We obviously do have a central site where you can buy games, and I would hope that our company would work together effectively to pursue various direct-to-consumer offerings. But equally, our labels are highly independent. So I think your expectations are probably that we're unlikely to have only 1 place of any sort to buy anything. We're likely to have multiple outlets. We're likely to have direct outlets. We're likely to be worked with third parties. And we're likely to have multiple opportunities throughout the organization. But the underpinnings within the organization, the technical underpinnings and the business underpinnings will be centralized. We will all work together cooperatively so we don't duplicate efforts. So you can see a consumer-facing approach that's quite varied. And then we have a highly efficient approach internally where we have all people working together productively in service of the same goals. 
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. And I would like to turn the call back over to management for any closing remarks. 
Strauss Zelnick: Thanks, everyone, for joining us today. We're very proud of the results driven by our creative teams and driven by our business teams as well. We're grateful to our colleagues all around the world. We're very grateful to our shareholders for their support and grateful to all of you who attended and took the time to be thoughtful and ask questions. 
Operator: This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.